Operator: Welcome to the Jack Henry & Associates fourth quarter fiscal year 2008 conference call. (Operator Instructions) With us today is Chief Executive Officer Jack Prim, Chief Financial Officer Kevin Williams, and President Tony Wormington. At this time, I would like to turn the conference over to Kevin Williams.
Kevin D. Williams: Welcome to the Jack Henry & Associates fourth quarter and fiscal year 2008 earnings call. Statements or responses to questions may be made in this conversation which are forward-looking or deal with expectations about the future. Like anything about the future, these are subject to a number of factors which can cause actual results to differ materially from those which we anticipate. Such factors are disclosed in our recent SEC filing. There could also be other factors not included that could potentially cause results to differ materially. We are pleased to host this call this morning to provide a company update and report our financial results for the fourth fiscal quarter and fiscal year ended June 30, 2008. With me this morning I have Jack Prim, our CEO, Tony Wormington, our President, which both [inaudible] provide some opening comments and some updates on the company. After our prepared statements we will then open the call up for a question-and-answer period. With that, I will now turn the call over to Jack.
John F. Prim: In spite of continued difficultly in accurately projecting license fee revenues, continued strong growth in support and services allowed us to attain record revenues for the fourth fiscal quarter and year-to-date. Total revenue increased 4% in the quarter, with a 4% increase in the Bank segment and a 6% increase in the Credit Union segment. EFT and maintenance support were the two largest contributors to growth in the support and services line, which grew 12% in the quarter. The 16% growth in support and services revenue on a year-to-date basis allowed us to show strong total revenue growth for the year of 11% even though license fee revenues declined 4% on a year-to-date basis and hardware revenue was essentially flat. In addition to the fact that preference for new core system implementations overwhelming favored outsource delivery for several years, in the year just completed we saw 27 of our current in-house customers elect [inaudible] for an outsourced delivery of their JHA systems, with 14 of them signing up in the fourth quarter. Unlike a new foreign implementation, where it can take two to three years for outsourcing revenues to catch up to the inhouse equipment, when these in-house banks make the switch the revenue received increases immediately due to the fact that the outsourcing fees are higher than the maintenance fees they were paying previously and the fact that they commonly implement two to three additional complementary products. This contributed to the 8% increase in the backlog over the year ago period and the 3% increase over the sequential quarter. We are clearly disappointed with the net income performance in the quarter. The significant shortfall in license fees and the associated gross profit, along with other one-time events in the quarter, created headwind we could overcome. While we continue to ratchet down our expectations regarding license fee revenue, this area will likely remain difficult to accurately predict. We remain focused on cost control and managing the business effectively. During the quarter we divested our bank insurance services business back to its original owner. In spite of the fact that we still believe this approach and the generation of fee income through insurance sales makes a great deal of sense for banks and credit unions, we were not able to make this a profitable business as part of JHA. We also took cost reduction actions related to our low-end credit union solution to bring its cost to a more appropriate level. While no other similar actions are currently expected, we will continue to evaluate and take action throughout our businesses as appropriate. Turning to the economy in general and the outlook for the business, I am reluctant to attribute the difficulties in the last quarter to the current economic environment. In hindsight, it appears we were overly optimistic in our expectations for license fee sales and were weighted towards the last quarter of the year. We received mixed messages from our customers and prospects regarding their outlook for technology spending. Some worried financial institutions that were candidates for certain projects or solutions had indicated that they were putting some projects on hold, and some individual community banks have expressed a more cautious outlook. However, a recent meeting of an advisory group of our larger credit unions recently communicated very clearly their intent to continue to spend on solutions that increase revenue, control cost or improve member service. And for our upcoming credit union and banking user conferences in September and October, respectively, we are seeing customer registration on or ahead of pace compared to last year. These are clearly discretionary expenses that could be eliminated relatively easily if financial institutions' management had great concerns about the economy. At this time we remain cautiously optimistic in our outlook for the economy and for our fiscal 2009. With that, I'll turn it over to Tony Wormington for some additional comments on the business.
Tony L. Wormington: Jack mentioned our support and service revenue component continues to increase nicely. We again saw good increases in our electronic funds transfer transaction processing. Our ATM/debit card processing volumes increased 17% compared to prior year quarter as bill payment transaction volumes increased at a nice pace of 35% in the same period. The number of financial institutions installed with our enterprise payments ASP solution for remote deposit processing increased 10% sequentially quarter-over-quarter and compared to prior year quarter increased 65%. The financial institutions merchants installed and utilized [inaudible] solution increased 22% sequentially and 142% compared to the same quarter a year ago. Along with the signing of new institutions and their merchants, we saw solid increases in the volume of transactions being processed. Transactions increased by 22% sequentially and 180% compared to the same quarter a year ago. We continue to focus our efforts on customer satisfaction. The results of our monitoring indicate continuing success with our demanding customer bases. To meet the ongoing demand of our customers we developed new products and services, as well as enhanced the features and depth of functionality in our existing products to meet our customers' demands. Our research and development spend increased significantly for the quarter and the year, however considering the impact of the two acquisitions we completed last year - Audio-Tel and Gladiator Technology - this line's expense only increased organically by 5% for the quarter and 15% for the year compared to the same periods a year ago. While we continue to see good demand for many of our complementary products and services, we have heard some discussion around current economic conditions and a few instances of delayed processes in our inhouse banking clients. While these discussions have taken place, we have been unable to quantify any material impact due to the economy at this time. It is important to note we have not seen an increase in losses to competitive solutions. I'll now turn it over to Kevin for a further look at the numbers.
Kevin D. Williams: As Jack previously mentioned, we completed the year with revenue growth of 11% to $742.9 million, of which approximately 9% of this was organic. License revenue decreased by 25% for the quarter and 4% for the year compared to the prior year period, which, as Jack mentioned, was below our expectations going into and during the most recent quarter and fiscal year. Support and services increased in every component within that line of revenue with the expectation of implementation revenue for the quarter. For the quarter and year-to-date respectively, implementation revenues decreased by 4% for the quarter, however it increased by 6% for the year compared to respective periods a year ago, with a large portion of these not being tied to specific license revenue but rather to the implementation of recurring revenue [pipe] buy-ins and convert mergers of banks that our customers have acquired. Our payment business was up 23% for the quarter and 29% year-to-date. Our Outlink data and item processing was up 8% for the quarter and 10% year-to-date, and our in-house support and services were up nicely, 13% for the quarter and 15% for the year. Hardware revenues decreased by 8% for the quarter, but is still up by 1% for the year compared to the prior year primarily due to a very strong first half of hardware sales. Our recurring revenue, which, as you remember, is in-house support and maintenance, EFT business - which includes all of our electronic payments business and Outlink data and item processing centers or, in other words, our support and service line of revenues without the one-time [inaudible] fee - has continued to grow very nicely, with growth of 14% for the quarter and 17% year-to-date compared to prior year. However, we would like to make a couple comments on the sequential basis of our support and service revenue and specifically the recurring revenue. Bill pay was up less slightly by about a half a percent sequentially over the prior quarter. PassPort, our EFT debit business, was actually down 3% for the quarter compared sequentially to the March quarter due to some very nice vendor incentives that we had in the third quarter that were not at the same levels in the fourth quarter. Having said that, our transaction volume and transaction revenues increased sequentially over the March quarter. Our [EPS] on our remote deposit capture product was up 2% sequentially and our Check 21, which is an exchange of check images, was down 10% which, as we had mentioned on previous calls, we expected as more and more of our customers go directly to the Fed. This also is an extremely low margin business for us and we had basically provided their customers with convenience, so in our eyes this is not necessarily a bad thing for this to happen. However, I would point out this will continue to be a drain on revenue for the ongoing year as more and more of our customers continue to go directly to the Fed. The combination of all this caused our total EFT payments line to be down 1.4% sequentially for the quarter compared to March quarter. Our Outlink revenue is down sequentially by $1.3 million or 3.8%, which is almost entirely due to item processing business as our data processing business continues to be very strong. The decrease in the item processing business, as we have mentioned in the past, is due to more and more of our bank customers going direct to branch and teller casher as the Fed continues to shut down regional processing centers, and this will continue to put a little pressure on this line of revenue throughout the year. But again, this is relatively low margin business and we will work through this. Our in-house maintenance, the third component of our recurring revenue, was up just under 3% sequentially. The result of this is total recurring revenue down sequentially by about 0.2% or basically flat with the third quarter, which is primary due to the drain from the Check 21 and item processing from the core business, however, the remainder of our core business and all the components of recurring revenue continue to be very strong and healthy. Our consolidated gross margin split during the quarter to 40% for the quarter and 41% for the year. License margins decreased from 91% a year ago to 87% this quarter due to increased third-party product sales. Support and service margins decreased finally from 38% to 37%, and hardware margins actually increased to 25%. To break this down into our two reporting segments, our Bank segment gross margin slipped to 41% from 43% a year ago in the fourth quarter, and our Credit Union segment margins decreased to 37% from 44%, both of these due to rather strong license revenue in the fourth quarter a year ago as a comparable. In the Bank segment for license margins we saw a decrease from 91% to 87%, again due to the increase in third-party software, and at the Credit Union we saw even a larger decrease in the margin on license from 98% a year ago to 88%, primarily driven by the BSA Redi product that we were selling. Our total operating expenses increased 11% for the quarter and as a percentage of total revenue increased slightly from 18% to 19% for the quarter compared to the prior year. For the year, operating expenses have increased 13% and have remained level at 19% of total revenue. Our operating margin decreased to 21% from 25% for the quarter compared to a year ago and decreased to 22% from 24% for the year-to-date compared to last year, primarily due to the lower license revenues, which was the primary driver for the lower gross margins. The net result in this was a decrease in operating income of 14% for the fourth quarter and a 3% increase for the year compared to the prior year. The effective tax rate ended up the year at 36% of income before income taxes compared to 34.7% last year. The effective tax rate is due to the timing of the extension of the R&D credit last year, as we have discussed on several of the previous calls. Year-to-date EBITDA has increased this year to $228.4 million from $214.2 million last year or a 7% increase. Depreciation and amortization is $62.0 million this year compared to $50.9 million last year or a 22% increase, due in large part to the acquisitions and capitalized software in prior years. Our EBITDA margins remain relatively level this year at 31% compared to 32% for the prior year. A couple comments on our use of cash. During the quarter we purchased 1.4 million shares of our stock for the treasury and year-to-date we have purchased a total of 4.2 million shares. We currently have approximately 3.7 million shares available under the current authorization. And just a reminder, in a little over three and a half years, since May of 2005, we have used approximately $251 million to purchase 11.3 million shares of our own stock for the treasury. Also during the year-to-date, our cash use for acquisitions increased by $10 million to $49.3 million compared to a year ago. Our Capex is down compared to a year ago by $3.1 million to $31.1 million for the year, which obviously this was down slower than the guidance we've provided before and this is due to some delays in our facility expansion that we had going on in Springfield, Missouri, which means that our Capex will be up slightly next year as those delays have pushed some of those costs from this year into next year. Our backlog was at $257.4 million, with $63.1 million in-house and $194 million outsourcing, which represents an 8% increase over that a year ago. Again, remember that there are no transactional revenue represented by our EFT [debit] processing, our online bill pay or our remote deposit capture contracts reflected in the backlog due to the difficulty in conservatively estimating transactional revenue of these types, especially in these fast-growing parts of our business. At this point we'll provide some guidance for FY '09. With the understanding that software continues to be a challenge to project and there continues the ongoing impact of the economy, which could impact this guidance again going forward, we're projecting top line revenue growth of high single digits to potentially double-digit growth. We would suggest that you model software and hardware both relatively flat with FY '08 and support and services revenue growing in the low to mid-teens. With the continued challenges of license revenue for a number of reasons and the ongoing shift of customers from in-house to outsourced delivery - which is a good thing long-term for Jack Henry but can have a pretty significant impact on license revenue in any given quarter - we are not projecting any margin expansion for the next fiscal year at this time, which obviously we hope there's some upside to this, but we'd rather set realistic and achievable expectations. Our primary goal with the current challenges is to maintain our current operating margin, with some potential upside, but we are not going to guide separately for gross versus operating margins. Therefore, our EPS growth should be close or equal to that of our top line growth, in the high single digits, potentially double-digit growth. There could be additional EPS growth depending on our stock buyback, and again, we have approximately 3.7 million shares remaining available under the current authorization. Also we are not providing specific quarterly guidance due to the lumpiness of software and the challenges that you all know we have faced, in the past year especially but in several of the prior years. However obviously, because the growth is coming from our support and services line primarily, recurring revenue should grow steadily over the next fiscal year, which should give you some comfort in building your models going forward. This concludes our prepared comments, and with that we will now open the call up for questions. Theresa, will you please now open the call for questions?
Operator: (Operator Instructions) Your first question comes from Kartik Mehta - FTN Midwest Securities Corp.
Kartik Mehta - FTN Midwest Securities Corp.: I was hoping to get a little bit better explanation of what you had in your press release about the onetime expenses as a result of legal and accounting. If you could just talk about that, what they were and what that was the result of.
Kevin D. Williams: Well, in G&A in total, Kartik, we had about $1.2 million or actually about - the impact was about $0.015, I guess, in the quarter. The biggest part of that was a write-off of some land improvements that we did here a few years ago on our campus. When we were building our last building back in '03, we were actually planning to build sister buildings. And we went ahead and did a lot of the land improvements for the second building, and we had kept that on the drawing board. But as the economy has changed and the price of gas, and with the number of employees we have in Springfield, we have now made the decision to build these two facilities in Springfield that we are now moving some dirt for and we'll start construction here very shortly. But when we made that decision, we were prompted to write-off those land improvements because we knew that we would probably never build J9 here on our campus. So that was the lion's share of the one-time hit. The legal and accounting, professional services, was a combination of things. We had a lot of tax issues that we were dealing with the fourth quarter due to FIN 48, and some deferred tax things that we hired a Big Four firm to come in and help clean some of that up. Obviously, we had some legal and accounting issues that we needed assistance with surrounding the discontinued ops. And then just, you know, the ongoing normal corporate-type litigation that we face every day. Just kind of a combination of all those added up to a significantly higher dollar amount of professional services than what we had in the fourth quarter a year ago.
Kartik Mehta - FTN Midwest Securities Corp.: So if you look at FY 2009 guidance, Kevin, would you use the base as what you've reported for the year or are you going off of the base excluding these one-time items? So would you add back the possibly $0.02 to $0.03 because of these one-time items.
Kevin D. Williams: I would exclude those one-time items because those are truly one-time items, Kartik.
Kartik Mehta - FTN Midwest Securities Corp.: So you'd add back the $0.02 to $0.03 for the full year and go off of that base, right?
Kevin D. Williams: Yes.
Kartik Mehta - FTN Midwest Securities Corp.: And I was just hoping to get a little better explanation on the license revenue. Is it any particular type of customer? Like are you seeing it decline out of the credit union market or is it a certain asset size of a bank that's not buying, or has it kind of been a gamut of institutions?
John F. Prim: I would say we've seen definitely a few projects put on hold in the larger financial institutions where some of our ProfitStars solutions would be relevant. You know, we have seen a few and we've heard some commentary in general in the banking segment, but again, it's just hard to quantify at this point. In other words, I can't point out X dollars that didn't happen because the bank said they were worried about the economy. There's been a deal here or a deal there and there's been more discussion probably around it in general, but again, it's just very difficult to quantify how much of that is actually a delayed decision because of concerns about the economy. Interestingly, the credit unions does not appear to have the same level of concern. I mean, there certainly are some in some of your high-impacted areas - Southern California, Las Vegas or Nevada, Florida - that probably have a different set of concerns. But by and large, our credit union customers still indicate a willingness to spend money on technology that they believe will improve member service, reduce cost or drive revenues. So it's really pretty much a mixed bag, and that's why we're reluctant to, you know, place too much of this squarely on the shoulders of the economy at this point.
Kevin D. Williams: Kartik, one other comment on the credit unions. Yes, they had a fairly weak fourth quarter, but two comments on that. One, they had an extremely high fourth quarter last year that brought in a very large billion dollar credit union in the fourth quarter last year which made for kind of a tough comparable. And then also they had a huge third quarter, so there was some deals that were actually scheduled for the fourth quarter that got pulled into the third quarter on the credit union side of the house. So a combination of those kind of prompted the tough comparable in the fourth quarter on the credit union side of the house.
Kartik Mehta - FTN Midwest Securities Corp.: And Kevin, you might have said this number so I apologize if I missed it, but what was the organic revenue growth rate for the fourth quarter?
Kevin D. Williams: Two percent.
Operator: Your next question comes from David Koning - Robert W. Baird & Co., Inc.
David Koning - Robert W. Baird & Co., Inc.: First of all just on the EPS guidance, just to get a little more clarity, do we start with the $1.17 of continuing operations EPS then add $0.02 of the $0.03 of the nonrecurring costs, so we're close to $1.20 now. And then, let's say, add high single-digit growth to that to get to the ballpark of $1.30. Is that the way to think of fiscal 2009?
Kevin D. Williams: I think at this point, David, that would be the right way to look at it.
David Koning - Robert W. Baird & Co., Inc.: Secondly, at the investor day it sounded like support and services growth in the mid-teens was pretty sustainable for quite some time, and on a normalized basis I guess it was 14% this quarter and now you're kind of guiding to low to midteens. What's changed there? I guess that's really the question. What's changed there? It seems like it's a little slower than you would have expected.
Kevin D. Williams: Well, I think the biggest thing there, David, is two things that I mentioned in my opening comments. The Check 21 business, image of check exchange, as more and more of our bank customers go directly to the Fed we lose that revenue. But again, that was single-digit margin revenue, so it's not a bad thing that we're losing that, because we were actually doing that as a convenience for our customers. But, you know, that was a business that was growing, you know, 40%-50% a year ago and now it's going the other way, so that's going to put some drag on the support and services line. And then in addition to that, as the Fed continues to shut down their regional processing centers and more and more of our bank customers go to branch and teller capture, then our item processing revenue is going to get some pressure put on it also. So the combination of both those is going to put a drag on our overall growth in the support and services line. However, yes, we don't like losing revenue, but if we're going to lose revenue, the low-margin business of Check 21 image exchange and item processing would be two that we would probably choose to have go down because item processing is probably one of the most labor-intensive operations we have within the organization.
David Koning - Robert W. Baird & Co., Inc.: Hardware growth, you expected, I think, at the analyst day for that to be down 5%, 10% in fiscal '09, now you're saying that that could be flattish. And then would you buyback a lot of stock here if the stock's, you know, $19 or something like that today?
Kevin D. Williams: Well, a couple of comments. One, I think, yes, we - I mean, we've been predicting hardware would be down for the last three years and have been surprised. But, you know, there's some new technology out there. We've got a new hardware partner out there that we're also pushing some additional products for that we think there's a huge appetite for, so we're a little more bullish on hardware than we probably were six months ago based on our sales budget for next year. And obviously we're trying to be conservative with that, so I think flat would be a pretty reasonable number for hardware, with similar margins. As far as stock buyback, like I mentioned, we bought 4.2 million shares this last year. We've got 3.7 million shares left. Obviously, we've been opportunistic in buying our stock back. And if our stock would take a significant plunge, I'm pretty sure that we would step up pretty aggressively. We have our quarterly Board meeting on Friday, which I'm sure the stock buyback will be discussed pretty extensively during that Board meeting. I have no idea whether they will want to increase the authorization or not, but we've got quite a bit of dry powder right now. I think currently we have close to $100 million in the bank with about $50 million in debt, so we've got quite a bit of dry powder to go after that, plus we've obviously still got plenty of room on our credit facility.
Operator: Your next question comes from Tim Fox - Deutsche Bank Securities.
Tim Fox - Deutsche Bank Securities: A quick first question was around license gross margins. I know you mentioned you're not going to be necessarily guiding to specific gross margins, but given the consistent increase in third-party sales I'm just wondering, directionally, should we anticipate license gross margins to be sort of sub-90% going forward? And if that's the case, how do we get to kind of flattish overall margins for the year in the next year?
Kevin D. Williams: Well I think, Tim, that our actual license margins are probably going to be somewhere at 90% or north of there for the year. We sold a bunch of third-party products but we've also got a lot of our own products that are either already being pushed out there - we've got a lot of new developed products that are going into the salespeople's hands in all three brands that we will not have that third-party solution. Really the impact of this, Tim, for this quarter especially, is because of the comparable of license revenue - and I'll just point to the credit union side - as compared to fourth quarter last year, because there was not as many core deals in there as I mentioned, some of those got pulled into the third quarter, there was not as many core deals that [inaudible] a 100% margin. Therefore the BSA product, which was really getting traction in the Credit Union segment during the quarter, was a much higher percentage of the total license revenue, which obviously had a negative impact on the margin number. So that number's going to bounce around a little bit, but I truly think that the margin on our license revenue will be north of 90% through FY '09.
Tim Fox - Deutsche Bank Securities: And then just to follow up on the license question, can you characterize the weakness from a lack of core deal sales or is there any particular product sets that drove that downward tick? I know Jack mentioned it's really no specific customers necessarily, but are there products that are just not driving that same type of discretionary spending in this environment?
John F. Prim: Tim, I would say it's not so much a lack of core deals. As Kevin mentioned, we had a very solid year last year from core system sales on the credit union side, which tend to be overwhelmingly license oriented there as compared to the banking side. Although the fourth quarter was down from a very strong fourth quarter in the Credit Union segment a year ago I would say, to some extent, versus expectations, certainly when we established the budget a year ago, the absence of those billion-dollar plus bank or credit union core transactions in a quarter can make a substantial difference. And again, you know, a year ago we had one of those in the Credit Union segment that we did not have this year in that same quarter. Similarly, on the banking side we didn't - while we did sign a $14 billion institution in Texas, the revenue recognition on that one was skewed a little bit from what we normally see on that kind of a transaction. So I would say that it was not so much an absence of core deals as much as maybe not seeing some in the mid-tier space to the extent that we would like to have. I think that probably more it was just in and around a mix of complementary products that just didn't get closed or may have been delayed in just kind of an across the board number of different areas that we didn't see what we'd hoped.
Operator: Your next question comes from John Kraft - D. A. Davidson & Co.
John Kraft - D. A. Davidson & Co.: Let me just follow up first on a previous question about - at least on a fourth quarter basis - the lower growth in software - I'm sorry, in support and service. Kevin, you mentioned the drag given the item processing but, I mean, is there anything else? Is there any seasonality? There hasn't been in the past, but I'm just wondering if you're starting to see seasonality there?
Kevin D. Williams: I don't know that we've seen any real seasonality, John. I mean, the transaction volumes in our EFT business were up nicely. You know, bill pay was up slightly over the third quarter sequentially. You know, could there be? I don't know if there could be, but remote deposit capture continues to grow at a very nice pace. Again, John, remember that there were some incentives in the third quarter with PassPort from one of our vendors that were not at the same level in the fourth quarter, and that was a pretty significant drop in PassPort. But again, the transactions continue to grow very nicely, and we don't see those slowing going forward. So, you know, as I mentioned in my opening comments, I think the core business of our recurring revenue is very strong and very healthy and continues to grow at a very nice pace. But there's always going to be some things quarter-toquarter that makes it a little tough compare, and as I mentioned, with the item processing and Check 21, there will put some headwind on it to grow that line of business. But the core business is very strong.
John Kraft - D. A. Davidson & Co.: Those PassPort incentives were simply a Q3 event?
Kevin D. Williams: Well, no. It's actually a quarterly event, but it was kind of a catch up in the third quarter that we got a pretty sizeable rebate, for lack of a better word. We still got some in the fourth quarter. You know, it's kind of like the hardware rebate incentives we get from hardware vendors when we do a really good job of selling stuff. So it's one of those things that's really tough to predict what the dollar amount is until after a quarter's over, so there was some catch up in the third quarter.
John Kraft - D. A. Davidson & Co.: But you don't anticipate an effect into '09?
Kevin D. Williams: No, because I think we've now got the program in place, John, and it'll just be there every quarter going forward like it was the quarter we just ended.
John Kraft - D. A. Davidson & Co.: And then as far as the insurance divestiture, how much revenue was taken out of your top line and put into discontinued ops?
Kevin D. Williams: Do you have another question while I look this up, John?
John Kraft - D. A. Davidson & Co.: Well, I wanted to finish up on something at least positive here. The backlog was solid and certainly growth wise at the higher end of the ranges you've had. I was wondering if there's any delays in implementations or anything that kind of might explain the disconnect between the strong backlog there.
John F. Prim: John, I think the backlog growth is being driven primarily by the support and services line items and primarily by the outsourcing within that line item. We have continued to see good growth in our outsource sales. And as I mentioned, 27 in-house customers that elected to move to outsource processing. Those will be implementing over a period of time, with a fairly substantial number of those - 14 of the 27 - that made the decision to make that switch in the fourth quarter. Again, we've seen minimal to no revenue associated with those 14, but they would have impacted the backlog.
John Kraft - D. A. Davidson & Co.: So no notable larger implementation delays?
John F. Prim: No.
Kevin D. Williams: John, the part of the insurance group that we moved out, the annual revenue run rate on that was somewhere around $1.8 million, and that was all in the support and services line because remember, that was an outsourced offering.
Operator: Your next question comes from Gil Luria - Wedbush Morgan Securities Inc.
Gil Luria - Wedbush Morgan Securities Inc.: I wanted to - I know it's very honorable that you guys report GAAP earnings and then talk to those. It's a much higher quality number than a lot of your peers and other technology companies report. But just to help us compare your numbers a little bit more apples to apples to those companies, would you mind going through amortization for acquired intangibles, stock-based comp and total one-time and then restructuring for the year?
Kevin D. Williams: Wow. We do not keep track of the amortization from acquired companies separately from the rest of them because we've never attempted to report anything other than GAAP earnings. As far as stock comp, the total stock comp for the year I believe was just a little over $1 million. And we didn't have any true restructuring charges. The onetime write-off that we had in the fourth quarter of the property improvements here on campus was roughly $700,000 to $800,000.
Gil Luria - Wedbush Morgan Securities Inc.: And that was all of the one-time for the year?
Kevin D. Williams: Yes.
Gil Luria - Wedbush Morgan Securities Inc.: And then in terms of the buyback, would you have the willingness to go into a net debt position? Would you feel comfortable with - how high of a debt-to-capital level would you feel comfortable with?
Kevin D. Williams: We've been asked that a lot. I would tell you that we were very comfortable buying back our stock. We're very comfortable putting down the book. We still think that the best us of our capital and our cash is to do acquisitions, but as we all know, the acquisition market has been pretty challenging in the last couple of years, which is why we've been buying a considerable amount of our stock back. And, you know, if our stock price would drop to certain levels, would we be comfortable with putting, you know, 2 to 3 times EBITDA on the balance sheet? I think we'd be very comfortable with that.
Operator: Your next question comes from Jonathan Maietta - Needham & Company.
Jonathan Maietta - Needham & Company: Jack, as you moved through the quarter, can you describe its linearity? For example, I've heard from a handful of companies that the month of June was particularly challenging. Did you see anything like that or was it fairly linear?
John F. Prim: Actually from a sales standpoint, Jon, June was probably the stronger month of the quarter. Keep in mind that, you know, it's also the last month of the fiscal year, so you've got sales reps that are working hard to reach 100% of quote and those kind of things. I can't point to anything in any particular month. I seem to recall we kind of started off slow and got some traction there at the end.
Operator: Your next question comes from Brett Huff - Stephens, Inc.
Brett Huff - Stephens, Inc.: I had a couple of follow ups on questions that were asked before and I just want to make sure I understand the onetimers. The one-time stuff amounted to about $1.2 million in the quarter, I think you said, Kevin, and about $750,000 or $700,000 to $800,000 of that was the land stuff, and then some of the other grab bag of accounting and professional services, legal, that was the remainder. Is that right you think that came to about $0.015 or was that $0.02 to $0.03?
Kevin D. Williams: That's about $0.015, Brett. And, you know, I mean I call the professional services, you know, I hate to classify them as one-times because we're going to have professional services every quarter. All I'm saying is that this is kind of a strange quarter in that they were significantly higher than they were in the fourth quarter a year ago. I mean, we have professional services every quarter. So, I mean, the true one-time write-off was actually the land improvements that we wrote off, but the combination of those in the G&A line was about $0.015 drag. You know, just some other comments just to make you all aware, also in the fourth quarter we had our ProfitStars user group meeting, which was significantly higher than it was a year ago, you know, which was that plus some of the trade shows made our selling and marketing, you know, $0.5 million, plus some other contract labor and things in there about $1 million higher than it was a year ago, which is a little over another $0.01. And then you compound that with the cost of the third-party license margin change that we had in the quarter, you know, you're getting pretty close to $0.035 to $0.04 there of unusual things that kind of happened in the fourth quarter. But clearly the one-time write-off was clearly the property that we wrote off here on campus.
Brett Huff - Stephens, Inc.: And then one follow up question, too, on the support and services line. You had mentioned in your prepared comments - you'd talked a little bit about implementation - and I wanted to make sure, if you could just repeat that or explain that a little bit more, vis-à-vis the growth rate in support and services.
Kevin D. Williams: Implementation fees, which are the one-time fees - and remember, in the support and services line there's just primarily four components in there. There's our recurring revenue components, which is our payments business, our in-house maintenance and our Outlink, which is our data processing, and then the fourth component is the one-time implementation fees that goes in there. And they were down slightly for the quarter. They ended up being up for the year. And those are truly a time and material or a fixed price. Those are going to bounce around from quarter to quarter. But I think my comments, Brett, were, you know, those are not tied specifically to a license installation. You know, a bit part of those are for getting de novos up and running. It's for installing additional products and services, both on an in-house and outsourced nature, so a lot of those are tied to recurring revenue. And then a pretty significant portion of those are tied to convert merger activity, where our banks are acquiring other financial institutions.
Brett Huff - Stephens, Inc.: And then you guys came in a little bit light versus the margin you had projected for that. Any thoughts on how that margin will shake out going forward? I mean, can we expect, you know, what is your sense? Again, I know you're not giving specific margin guidance, but any sort of commentary as we go into '09?
Kevin D. Williams: Well I think right now, Brett, like I said, with the challenges we're having in predicting license revenue and with some of the headwinds that the economy is throwing in front of us, I think going into '09 what we're going to try to do is maintain our margins where they are, you know, with hopefully some upside to those. But I don't want you all running out and building 300 or 400 basis points of improvement into your margins and expect us to hit it.
Operator: Your next question comes from Daniel Perlin - Wachovia Capital Markets, LLC,
Daniel Perlin - Wachovia Capital Markets, LLC: I just had a quick question on the support and services revenue forecast. If I just kind of forget the year-over-year growth rate for a moment and look at your absolute dollars you've been able to post over the last three quarters, it's pretty consistently been around, you know, $145 million to $149 million. And it sounds like, Kevin, you're saying services are low to mid-teens. I'm wondering what - what do you know today or what do you have in your pipeline, your installation pipeline, that would give you confidence to put out a number that would really significant accelerate in the back half of '09?
Kevin D. Williams: Well, we've got two things working for us here. First of all, we don't see any slowing in our payments business other than the Check 21, which, you know, that's going to play out in some margin differentiation. I think overall our payments business will continue to grow even considering the pressure from the Check 21. Our Outlink division, as Jack mentioned, the 27 banks that signed this last year will be going from inhouse to outsourcing, with 14 of those in the fourth quarter, you know, it's kind of a unique situation the way we're doing this because we're trying to price these customers to pay us the first year basically what they would have paid us as an in-house customer basically for their in-house maintenance, hardware maintenance and, you know, disaster recovery services. But at the end of the day, when they're signing contracts, they're actually going ahead and adding on average an additional three products. So what they are going to pay us once they get converted is almost double what they were paying us as an in-house customer. So we've got, you know, 27 of those, 14 in the fourth quarter. That said yes, there's a little trade-off that's going to put a little pressure on in-house maintenance, but we think Outlink revenues are going to grow considerably because of that. Plus we've continued to see some very nice de novo activity during the year and, you know, as we've mentioned, you don't get a whole lot out of de novo activity in Year 1 but, you know, we installed close to 50 de novos a year ago that are now kicking in and we're getting some nice revenue off them. So I think from the Outlink group we're going to continue to see very nice growth. In-house maintenance, I mean, that's pretty much a locked-in number. We know what that is because it's sitting in deferred revenue at year end, and that will actually increase as we sell additional licenses and implement them and bill for prorated in-house maintenance. So, you know, all the components in there, as I mentioned, are very strong and healthy, and somewhat pretty predictable on how they're going to grow.
Operator: Your next question comes from Brett Huff - Stephens, Inc.
Brett Huff - Stephens, Inc.: Just one follow up question on the support and services. You had mentioned that the Check 21 and image exchange stuff had been sort of headwind more in 4Q than maybe in the past. Did that change sequentially from 3Q or can you just give us any color on that?
Tony L. Wormington: While Kevin's looking for that number, Brett, my expectation would be that it probably did drop some further from sequentially because that business is pretty steady. What business we were doing there, which isn't, again, a huge amount, but what business we were doing there we are seeing attrition from that going directly to the Federal Reserve.
Kevin D. Williams: Yes, the March quarter, Brett, was actually - just the March quarter compared to the prior March quarter is up 12% and it's basically flat with the December quarter. The March quarter compared to the year ago is down 17% and it's down about 12% from the March quarter.
Brett Huff - Stephens, Inc.: Sorry. So it was down 17% year-over-year in the March quarter and down how much in the -
Kevin D. Williams: No, I'm sorry. I'm confusing you. The June quarter was down 17% from the June quarter a year ago. The March quarter was actually up from the March quarter a year ago and flat with the December quarter.
Brett Huff - Stephens, Inc.: Okay, so you really did have a switch sequentially?
Kevin D. Williams: Yes, the June quarter's actually down about $1.2 million in revenue from the March quarter.
Brett Huff - Stephens, Inc.: And then one last question. Last quarter I think there was some difficulty on the margins in support and services or in the growth rate in support and services, a little bit because of some repricing on renewals of the EFT contracts. Any more of that? I think you had anticipated not much more from that, but just anything there?
John F. Prim: Really didn't see anything significant there, Brett.
Operator: And it appears there are no further questions at this time.
Kevin D. Williams: And again, we want to thank you all for joining us today to review our fourth fiscal quarter and obviously the results of our fiscal year 2008. Obviously, it has been a challenging quarter and somewhat for the year as the economy continues to post some headwinds. But again, we feel we are - we continue to be positioned correctly for the future, we have the right people, the right resources and product, and we continue to do the right thing for our customers and our stockholders. Again, thank you very much for joining us this morning.
Kevin D. Williams: Thank you.
Operator: If you would like a replay, you may dial 888-203-1112. Once again, that's 888-203-1112. And the passcode is 4457204.